Operator: Welcome to the Retail Opportunity Investments 2020 Second Quarter Conference Call. Participants are currently in a listen-only mode. Following the company's prepared comments, the call will be opened for questions. Please note that certain matters discussed in this call today constitutes forward-looking statements within the meaning of federal securities laws. Although the company believes that the expectations reflected in such forward-looking statements are based upon reasonable assumptions, the company can give no assurance that these expectations will be achieved. Such forward-looking statements involve known and unknown risks, uncertainties and other factors which may cause actual results to differ materially from future results expressed or implied by such forward-looking statements and expectations. Information regarding such risks and factors is described in the company's filings with the Securities and Exchange Commission, including its most recent annual report on Form 10-K. Participants are encouraged to refer to the company's filings with the SEC regarding such risks and factors as well as for more information regarding the company's financial and operational results. The company's filings can be found on its website. Now, I would like to introduce Stuart Tanz, the company's Chief Executive Officer.
Stuart Tanz: Thank you. Good day, everyone. We hope that all of you and your families are doing well and have remained safe. Here with me today is Michael Haines, our Chief Financial Officer and Rick Schoebel, our Chief Operating Officer. These past few months have been incredibly challenging for everyone across the country and the world. In terms of the West Coast and specifically as it relates to our shopping center business, we too have been faced with extraordinary challenges. At the time of our last earnings call, back three months ago in April, the West Coast was in the early stages of the stay-at-home orders where only businesses that were deemed as essential were allowed to be open. Fortunately, given our long standing focus on the grocery daily necessity sector, the bulk of our tenant base is essential. So while countless retail properties across the West Coast were all but completely shut down, back in April, our shopping centers remain active with over 70% of our tenants open and operating at that time. As the second quarter progressed, capitalizing on our long standing strategy of always being proactively engaged with our tenants and very hands on in terms of offering our shopping centers, we made significant strides with putting our portfolio on a strong and steady course towards returning to normal, full operations. We implemented a number of strategic initiatives at the property level to adapt and best position our centers during this time, including adding newly enhance health, safety, and cleaning protocols, along with reworking parking patterns to enable efficient and safe, no contact curbside pickup. Additionally, we implemented a comprehensive new signage program adding over 700 signs across our portfolio, addressing a variety of key items from social distancing, mask and hygiene protocols to providing intense status information. Furthermore, we were creatively and collaboratively with our full service restaurant tenants to introduce new, safe and pleasant outdoor areas for dining, utilizing shaded, broad sidewalk areas and existing courtyard space, as well as adjacent lawn and parking areas where a number of our restaurant tenants have now created private umbrella spaces for additional outdoor dining. We are pleased to report that our hard work and strategic initiatives are serving to facilitate a seamless transition in terms of getting tenants efficiently reopened in this new environment as stay-at-home orders have been slowly lifted. Today, 88% of our tenants are open and operating again. Additionally, the terms of rent received back in April, you may recall that we had received about 67% of our total base rent at that point. Since then, as a result of our property initiatives and working closely with tenants over the past several months, we've increased that 67% significantly to 82%, not just for April, but in terms of rent received to date for the entire second quarter. As tenants begin to reopen, our initial expectation is that we would take time for customers to return to their normal shopping and dining patterns. To our surprise, from what we've seen thus far across our portfolio, customers are returning quickly and returning in force. Parking lots are bustling, stores are active as our restaurants. Importantly, customers and tenants are following safety guidelines and mandates. With respect to leasing interest, retailers in the marketplace are currently taking notice of customers returning at our shopping centers. Over the past month or so, we've seen a considerable increase in the amount of inquiries from retailers searching for space. The vast majority of these are in the service and specialty sectors, as well as traditional indoor mall retailers thinking -- seeking to relocate their businesses to open air centers. Additionally, we're getting a lot of interest from astute restaurant, boutique fitness operators who are seeking to quickly step into any available former restaurant or fitness space. While still early in the reopening process on the West Coast, we are encouraged by what we have seen thus far. Now I'll turn the call over to Michael Haines, our CFO. Mike?
Michael Haines: Thanks, Stuart. While we are encouraged by how things are progressing across our portfolio, the pandemic took its toll on our business during the second quarter, in terms of our financial results. GAAP net income attributable to common shareholders for the second quarter of 2020 was $4.6 million, equating to $0.04 per diluted share. And funds from operations for the second quarter of 2020 totaled $29.2 million, equating to $0.23 per diluted share. Needless to say, our results are down considerably from the same comparative period a year ago, including same center net operating income, which after 8 consecutive years and 33 consecutive quarters of growth declined 9.3% in the second quarter, 3.1% for the first six months to 2020. As Stuart noted, to date, we've received 82% of our total base rent for the second quarter. With respect to the remaining 18%, which totals approximately $9.3 million in outstanding rent for the second quarter, of that, approximately 20 -- sorry, $2.2 million has been deferred to date pursuant to sign agreements. The bulk of which requires tenants to pay the deferred amounts in monthly installments between now and year-end. Additionally, we are currently working to establish additional deferment agreements, which together totaled approximately $2.2 million of the $9.3 million of outstanding second quarter rent. Lastly, to be conservative in the second quarter, we recorded $5.9 million of bad debt expense, of which approximately $1 million related to prior past tenants that was written off from the second quarter and the $4.9 million bad debt reserve for current tenants. Turning to our balance sheet. As we discussed in our last earnings call, back in April, we drew $130 million from our credit facility to enhance the company's liquidity position in order to be prepared for the challenges and potential cash needs going forward as a result of the pandemic. Since April, while implementing the various initiatives that Stuart touched on to adapt and enhance our centers, we also worked hard to conserve cash. Today, we now have $161.3 million of cash on our balance sheet, representing a $27.8 million increase since April, which takes into account having made our semiannual bond interest payments in June, which totaled $16.5 million. Given the ongoing pandemic and the related uncertainty as to the potential long-term impact to the shopping center industry and to our business specifically, we intend to continue carefully conserving cash flow. Now I'll turn the call over to Rich Schoebel, our COO. Rich?
Rich Schoebel: Thanks Mike. Notwithstanding the entire West Coast from San Diego up to Seattle, having been under strict stay-at-home orders for good portion of the second quarter, our portfolio held up remarkably well. Starting with our portfolio lease rate, when the pandemic hit and the stay-at-home orders were issued back in March, our portfolio lease rates stood at 97.7%, just shy of our all-time record high of 97.9% that we sent last year. Despite having roughly 30% of our tenant base temporarily closed for a good portion of the second quarter, in terms of actual tenant fallout, we only had a handful of tenants closed for good such that our portfolio lease rate held up well ending the second quarter at 97%. And regarding the tenants that did close, we're close to now having their space spoken for with new tenants. However, though, that's not to suggest that we expect our portfolio lease rate to rise in the months ahead. No doubt there will be additional space that will become available as the pandemic continues. In terms of leasing activity, deals being executed were all, but non-existent at the outset of the second quarter, during which time we were largely consumed with rent deferrals. However, as stay-at-home order started being lifted in late May and in June, it was as if the leasing switch was suddenly flipped back on, with retailer demand quickly ramping up such that we were able to finish the second quarter with good momentum posting over 8% rent growth on new leases and over 7% on renewals. Just to highlight a few of the leases we signed during the second quarter, to give you a sense of the type of activity, we executed a new lease with a restaurant operator that has had a very successful business for over 16 years at an indoor mall who decided that the time had come to move and reestablish their business and an open air shopping center. Additionally, we also signed a new lease with a new pharmacy concept that's based in Northern California, who notwithstanding the pandemic is seeking to expand into Southern California with the goal of securing a number of key locations in Southern California by year-end, our center being their first location. We also signed a 10-year lease with a fast growing national fitness operator who replaced a prior anchor fitness tenant. In addition to the leases we signed in the second quarter, we currently have a number of lease transactions in various stages of negotiation with a variety of service and specialty retailers. Additionally, we continue to receive inquiries from opportunistic retailers seeking to earmark prime spaces at our centers in the event of tenant fallout. And not surprising, restaurant operators are aggressively seeking spaces with outdoor patios as well as drive through capability. So as Stuart stated, we're encouraged by what we're seeing across our portfolio thus far in terms of demand for space returning. Looking ahead at our anchor lease expirations during the second half of 2020, we only have one anchor lease scheduled to expire between now and year-end, the leases with one of our strongest national grocers. They have a 5-year renewal option remaining on their current lease. However, rather than simply exercise the renewal option, they would like to establish a new long-term lease, which we're currently discussing with them. Looking out for further at next year, as of June 30, we had 11 anchor leases scheduled to expire in 2021, 8 of which are with grocery and drug stores. We expect that all 8 will stay. In terms of the other three anchor leases, one is just renewed their lease early and we currently expect that the other two anchor tenants will renew as well. All three of these anchor tenants have remained open during the pandemic and their stores have been performing exceptionally well. Lastly, with respect to our ongoing densification initiatives, all three projects that we have been pursuing continue to progress through the entitlement process. While the frequency of discussions with city officials has slowed a bit, given the pandemic and the related logistical challenges, city officials continue to be proactively engaged with us and continue to be supportive and moving the process forward. Now I'll turn the call back over to Stuart.
Stuart Tanz: Thanks, Rich. While we are encouraged by the progress that we're making to date and by what we are seeing in the marketplace, we know that the path to getting back to full operations will not be straight and simple. In fact, with the recent rise in cases in California, officials have paused the reopening for certain businesses, such as movie theaters, for example and mandated that a number of other businesses that had reopened scale back or temporarily close again, such as salons, gyms, and full service restaurants. However, they are allowed to conduct business outside where feasible. With that in mind, we are redoubling our efforts in helping tenants utilize shaded outdoor areas, as well as creating additional shaded outdoor space as I mentioned. In terms of grocery stores, drug stores and general retail, those tenants all continue to be open and operating. Thus far, the new orders have not had a meaningful impact to our California shopping centers. Needless to say we're watching it very closely and continue to work on creative and safe ways to help tenants continue to serve their communities. In terms of the third quarter, to date we have received 85% of total base rent for July. As we move through the second half of 2020, our hope is that we will continue to steadily move forward towards full operations again. That said, as all of this continues to evolve with considerable uncertainty, including the recent pullback in California and how that could impact our business in the third quarter, our Board out of an abundance of caution, has decided to keep the company's quarterly dividend temporarily suspended in order that we continue to conserve as much cash flow as possible. Lastly, back four months ago, as stay-at-home orders commenced, and we began working from our homes, we were not quite sure what the impact would be in terms of how we function as an organization. Fortunately, everyone across the company has stepped up incredibly. Today, four months into it, I'm pleased to say that having to work remotely has actually brought the organization closer together. The manner in which we conduct business has evolved into a greater collaboration of exchange and ideas. Additionally, we've become more efficient in our communications and considerably more agile with turning good ideas quickly into productive actions. Looking ahead, once this passes, we're all optimistic that we will indeed emerge as a strong organization that's better equipped and our portfolio better position to build value going forward. Now we will open up the call for your questions. Operator?
Operator: Yes. [Operator Instructions] And we do have our first questions coming in now. Our first question is from the line of Christy McElroy from Citi.
Stuart Tanz: Good morning, Christy.
Michael Haines: Hi, Christy.
Christy McElroy: Hi. Good morning. So the $5.9 million bad debt number, it's it sounds like that was just on rent and recoveries being reserved, because it sound like there was any sort of straight line rent reserve in there. So just wondering if you could help me reconcile the straight line rent component of rental revenue, this $319,000 in second quarter. How much was that impacted by any sort of write off of straight line rent receivable resulting from converting to any tenants to cash basis? And was there also any positive offsetting impact from leases that were treated as a modification due to any abated rent?
Michael Haines: Well, first of all, we haven't done any lease modifications for abated rents. We've been focusing on deferrals. We have not moved any one to a cash basis. The straight line rent number it does have an impact of about $185,000 of total write offs for straight line rent. The bulk of it was actually came from one fitness center, which was $130,000. So that's a net number on the income statement for straight line rent income. So our straight line rent write off was fairly meaning -- not a very meaningful number.
Christy McElroy: Okay, got it.
Stuart Tanz: Yes, Christy, we've been fortunate from the standpoint that we haven't really had much impact from all the bankruptcies out there. And I think, as Mike is articulating, the one anchor lease that we've lost which actually was re-leased during the quarter right away was 24 Hour Fitness.
Michael Haines: Right.
Christy McElroy: Okay. And then because you gave some numbers in the opening, it sounds like from what you said, the $2.2 million, it sounds about the -- if I think about the 18% that was not collected in the second quarter, about 400 basis points of that is under deferral. So I'm just wondering how much of the reserve was attributable to tenants that are under deferral agreement versus those in the 14% that are unresolved?
Stuart Tanz: I don't think -- of the $4.8 million that was current tenants, there wasn't a meaningful number that was relative to the amount that we actually deferred. It was basically just being conservative across the portfolio, largely for categories that we wanted to be cautious about like the restaurants and the fitness users.
Christy McElroy: Okay. So more of a general reserve than a lease-by-lease?
Stuart Tanz: Right.
Christy McElroy: Okay. And then just one last question for Rich. Just following up on your comments on leasing, of the leases that were executed in the quarter that you talked about and you showed in the supplemental, if they were signed in the second quarter, when were those leases negotiated? So I'm just trying to get a sense for what leasing really looks like in the midst of the COVID environment versus those that were maybe previously under LOI and converted to sign during this period?
Rich Schoebel: Yes, I think as I touched on in the prepared remarks, there were a few leases that were just at the finish line at the end of the first quarter that came in early in the second quarter, but some of these were initiated within the second quarter. There was a bit of a pause after those first few that were first quarter deals came in and then the activity picked up as we went through the quarter. So I don't have the specific breakdown of which -- how many were started in the first quarter, but the majority of those that are in the second quarter numbers were commenced and negotiated in the second quarter.
Christy McElroy: Okay. Thank you.
Stuart Tanz: Thank you.
Operator: And our next question comes from the line of Todd Thomas from KeyBanc Capital Management.
Stuart Tanz: Good morning, Todd.
Michael Haines: Good morning, Todd.
Todd Thomas: Hi. Thanks. Good morning. Stuart or maybe Rich, I was just wondering, if you were able to comment at all on your expectations around August collections. Maybe any idea what you might expect relative to the 84.9%, for rent paid in July. And then also in terms of the percent of the portfolio open at 87.5%, has that decreased from June levels as a result of some more recent closures and the virus flaring up in some of your markets. And do you see a path to getting that back to the low to mid 90%?
Rich Schoebel: Yes, I think that in terms of the second part of your question there, there was a few tenants that had to modify their operations, but the good news is, as you'd probably read is the state of California has allowed more operators to go out into the common area, which has allowed them to continue to offer their services, particularly in the health and beauty sector. And we have accelerated our opening up of the common areas for fitness and restaurant users. So we expect that open number will stay probably around this range. Hopefully start to trend better as we go through the balance of the year and things hopefully more uses are allowed to reopen.
Stuart Tanz: And then in terms of collections, Todd, I mean, August is -- number one, it's very fluid as out there and we are working around the clock in terms of collections. I do think that it's a bit too early right now, as it relates to August to give you any indication. But the one thing we have found as you saw for the second quarter as a whole is that as we continue through these deferrals there are a number of tenants that have been open, have done quite well and still haven't paid us any rent. So it's still a fluid situation. And the good news there in my view is those numbers will continue to tick up, because every time you sign a deferment, you typically get paid for the prior months. And that's why I believe even the second quarter will continue to tick up as we move through the third quarter. Because as these deferments do require these tenants to go all the way back and pay us at the start of the second quarter through the third quarter.
Todd Thomas: Okay. And then you spoke about some activity in the fitness category and you mentioned 24 Hour Fitness they filed bankruptcy during the quarter and that it sounds like you got one back that you might have re-leased already. How many more 24 Hour Fitness locations do you have? And can you provide some additional color on that category and the leases that you're signing or negotiating in terms of what those leases look like in the rents, perhaps just considering that only 35% of the fitness space is open and you're collecting 40% of the base rent today.
Rich Schoebel: Sure. So we have a total of a three additional 24 Hour Fitness locations in our portfolio. They account for less than 1% of our total base for rent. They're all very good locations from all indications that we have had prior to the pandemic. And we expect that they will hopefully be accepted, but there's just no way to predict. In terms of the fitness category, we have about 11 national anchor fitness gyms in the portfolio and those account for only about 2.4% of our total base rent. So, most of our fitness operators are the smaller boutique, one-on-one personal trainers, things like that. They have been able to transition out into the common areas in most cases. And you're correct, we lost one 24 Hour Fitness. It was actually a concept of 24 Hour called BFit that they basically jettisoned immediately, and we had a opportunistic operator, a local operator who saw an opportunity to come in and grab that location and be up and operating very quickly and seamlessly.
Stuart Tanz: And with very little TIs, Todd.
Todd Thomas: Okay. And Mike, I think you mentioned that you didn't transition any tenants to cash based accounting in the quarter. How does that work? So there's three additional 24 Hour Fitnesses and maybe some others. You didn't-- they're not being accounted for on a cash basis. Can you just explain how that works?
Michael Haines: Well, the leases are still in place, and even though they may not be open and operating, it's still a valid lease in our accounting rules. And so unless we have a sense that they're actually going to leave the party, the straight line rent is -- I don't have a justification or accounting rules that would write it off. The one anchor, the one that Rich mentioned the BFit, that's the one that we did write up $130,000 for that hit straight line rent as an offset to revenue. So by and large, over 80% of our tenants current on their rent can and given their business continue to form, we don't have a reason to switch anyone over to a cash basis at this time.
Stuart Tanz: And we did reserve all of the rent and CAM associated with those leases …
Michael Haines: Right.
Stuart Tanz: … during the quarter.
Michael Haines: Just didn't touch the straight line, right, because the leases are still valid leases.
Todd Thomas: Okay. All right. Thank you.
Stuart Tanz: Thank you.
Michael Haines: Thanks, Todd.
Operator: And our next question on the line comes from the line of Brian Hawthorne from RBC Capital Markets.
Stuart Tanz: Good morning, Brian.
Todd Thomas: Hi. Good morning. How are you guys doing today?
Stuart Tanz: We are doing well and you?
Todd Thomas: Good. Thank you. My first question is, so when you guys have these open spaces, how deep is the demand for those locations? Like on the leases that you're signing?
Stuart Tanz: I mean, I think, typically we have a couple to three people vying for these spaces. I think we are benefited from the fact that we don't have a lot of space available to begin with. Our centers are all primarily grocery drug anchored and have been very busy throughout the pandemic. And I think that people that may not be operating in a grocery anchored center, looking for these opportunities to get where the foot traffic and the customers are. So this is -- been helpful in terms of us keeping the spaces spoken for.
Todd Thomas: Okay. And then how have requests for rent relief changed as the portfolio opened and how was the health of the local small shop tenant?
Stuart Tanz: I'm not sure that it's really changed all that much. I mean, we are dealing with this on an individual basis. Everybody's circumstances are different. I mean, it ranges from people that have been in business for decades to people that just opened, the week before the shutdown. And we spend a lot of time focused on how their sales were leading into the pandemic, how they've been held up throughout the pandemic. We -- it's not just a come and ask for something and you get it. We really want to make sure that it's tailored to the tenant situation, that we can structure a proposal that gets them -- keeps them open and operating and hopefully gets them back into full business as quickly as possible.
Todd Thomas: Great. Thank you.
Stuart Tanz: Thank you.
Operator: And we do have more questions online. The next question comes from the line of Craig Schmidt from Bank of America.
Stuart Tanz: Good morning, Craig.
Michael Haines: Good morning, Craig.
Craig Schmidt: Okay. Thank you. Yes, we saw that a regional and national rent collection increased in July over second quarter, but the local was more or less flat. I'm wondering do you think that you go to the third quarter, that will remain flat or is there potential for increase?
Rich Schoebel: From the local tenant base, I think there's still the potential for increase. I think as Stuart touched on, there's -- as we wrap up these deferral agreements, it typically involves them coming current on that rent that they have not paid in the previous quarter. Some of these tenants have withheld their rent. As Stuart said, they've been open, they've been operating, but they withheld the rent. Primarily, we assume through trying to use it as some form of leverage in terms of the negotiations. But once the deferral agreement is signed, it brings us in the retroactive rent and we would expect that the tenant would pay that going forward, which should increase the collection percentage.
Craig Schmidt: Great. And then just the first half of G&A expense, a good run rate for the second half.
Michael Haines: Probably. So two things impacted G&A in the second quarter. Our overhead was a little bit lower compared to last year. And we also -- the second last year in the second quarter, we had legal expenses that were related to resolving longstanding issue with a seller of a property we had acquired 10 years ago. But going forward in terms of the second half, I think G&A should be approximately $4 million to $4.5 million a quarter.
Craig Schmidt: Great. Thank you.
Michael Haines: Thanks, Craig.
Stuart Tanz: Thank you.
Operator: There's more questions online. The next question comes from the line of Mike Mueller from JPMorgan.
Stuart Tanz: Good morning, Mike.
Michael Haines: Hi, Mike.
Michael Mueller: Hey. Couple of questions here. On the deferrals, out of curiosity, if you're having tenants pay to back rent to get a deferral, so they have to pay April, May, June or so, theoretically, what exactly is being deferred on a go-forward basis then?
Rich Schoebel: Well, again, as I said, it's very, very individualized. So it really depends on whether they're back in operation or they're still shut down. I mean we have some fitness-type users like swim schools up in Seattle that have basically are not able to operate or operate only with like four to five students at a time. So their deferral, we may have deferred some future rent as well to help them through what we anticipate to be their opening period. In many cases, we're tying that deferral would be for a fixed period of months. But if they were happened to be allowed to open up during that period, they would have to not have a deferred rent. So I don't know if that helps.
Michael Mueller: So for the $9.3 million of rent that was uncollectible, where I think you said $2.2 million has been deferred to date, is that $2.2 million of past rent that wasn't paid and is being deferred, or that's future rent that's being deferred?
Michael Haines: I think the $2.2 million was second quarter rent that's been deferred. And I think maybe what Rich and Stuart were referring to about the future of deferrals involving paying past rent, if someone didn't pay any rent during the full second quarter, and we're going to defer, say, 25% or 50%, they have to pay the other 50% due from second quarter to get the deferral for the other piece. It could be a combination deferring some in the second quarter and potentially some of the third quarter, depending on the tenant use.
Stuart Tanz: Exactly.
Michael Mueller: Okay. That makes it clear then. And then on top of that $2.2 million, did you say there was another $2.2 million that was in the works as well for deferrals?
Michael Haines: Yes. We've executed about $2.2 million in deferment agreements, and the other $2.2 billion are in the works currently for the ones who have just not paid anything. We're still negotiating with those talents, as Stuart mentioned.
Michael Mueller: Okay. Yes, I just want to be sure because it's the same number. So okay.
Michael Haines: Yes. Coincidentally.
Stuart Tanz: Yes. And again, Mike, is if assuming we get those done over the next several weeks, they will have to pay what they owe us in the second quarter. And that's why I made my comment about collections will probably continue to go up.
Michael Mueller: Got it. And then last question. So the remaining $5 million or so that's not accounted for, can you just give us a little bit of color about that bucket of income and what types of tenants and what negotiations are kind of like going on there?
Stuart Tanz: Sure. I mean it's continuing to work with it. It's a different set of tenants. They --primarily, it's restaurants, a couple of fitness places and then a spatter of some other types of uses. And I think we're working very hard at closing that gap. I think you'll see a meaningful closing of that gap in the third quarter because we are making some very good headway. We as you probably know, Mike, the court systems outside of Seattle have been closed on the West Coast, so it's this game of communicating with the tenants. And we're doing certain things to bring them to the table that are working. So I believe that we'll close that gap. That gap will close pretty good during the third quarter.
Michael Mueller: Got it. Okay. That should be it. Thank you.
Stuart Tanz: Thank you.
Michael Haines: Thanks, Mike.
Operator: We had more questions. The next question comes from the line of Vince Tibone from Green Street Advisors.
Stuart Tanz: Good morning, Vince.
Vince Tibone: Hey, good morning. Of the tenants in your portfolio that are still not open, do you know the split between the ones that are forced to be closed due to government mandates and ones that are still closed even though they could be open?
Rich Schoebel: There's very few tenants that are not open that would be allowed to open. And usually, that's for a specific personal reason of their own. And it's not the larger tenant, it's some mom-and-pop tenants that maybe are just too afraid to open.
Stuart Tanz: But very few.
Vince Tibone: Got it. And then are you do you have a sense of how many tenants, if any, in your portfolio that you know are permanently going to close? I mean that's somewhat baked into occupancy, I guess, but do you have any rough estimate you could provide there?
Rich Schoebel: Not really. I mean, for the most part, particularly from the local tenant base, this is what they know. This is what they do. There really isn't a plan B for them. So they're doing whatever they can to get their businesses back up and running to support their families.
Stuart Tanz: And they're very enthusiastic in terms of their business. They've all done very well, as Rich articulated, some have been in these centers for many decades. And we just find when we have conversations with them that they're very enthusiastic and really want to work hard in terms of getting things reopened, who aren't open. And then once they're open, I think they're very creative in terms of creating ways or finding ways of increasing sales.
Vince Tibone: That makes sense. One more for me. Can you just help me understand how exactly you calculate same-property NOI? You stated the same-property cash NOI, but that doesn't appear to be the case given second quarter collection levels. Just want to just reconcile that and confirm I have the right understanding here.
Michael Haines: Well, we calculate same-store NOI the way we always have. So on accrual basis with noncash straight line rent and above and below market rent, amortization stripped out of that. So it's really it's those same-store cash rates that's accrual basis, but you strip out the GAAP noncash components to get that same level.
Vince Tibone: So it's still accrual based, but it just backs out those two line items. That's what I thought, but just wanted to confirm. And then just on are you able to provide same-property NOI in the quarter on a true cash basis what it was at current rent collection levels?
Michael Haines: I don't really -- the short answer is no, only because you'd have to have a separate set of books to do true cash accounting, which would be cash operating expenses, cash rent collected. And that it's just we're not prepared to do that.
Vince Tibone: Okay, fair enough. Thank you. Thank you for the time.
Operator: And our next question comes from the line of Linda Tsai from Jefferies.
Stuart Tanz: Good morning, Linda.
Linda Tsai: Hello. When you highlight these national tenants that have done well during the pandemic and still don't pay rents, and this is certainly something many of your peers have mentioned, too, what's your expectations when their leases come up for renewal? Do you think they'll be similarly contentious in terms of seeking reduced rents going forward, or do you view this stubbornness is more isolated to business shutdowns?
Stuart Tanz: Well, it's very simple. You don't pay us rent, you leave. That's simple. One way or another after this pandemic leaves, we believe the and what we've seen so far is there will be a pickup in terms of demand, given the quality of assets that we own and where we are. You don't pay rent, you don't stay in occupancy. It's that's simple. The good news is that we don't have a lot of anchor tenants at this point that we have some that haven't paid us any rent, but we're getting very close to really working things out from that perspective. So as we move into the third quarter, I don't think there will be many left in our portfolio. And again, remember, the majority of our anchors are grocery stores and drugstores as well as other essential daily necessity retailers. So that also helps.
Linda Tsai: And then in terms of mall-based tenant coming into your center, did this tenant occupy in line space, or was it a larger maybe junior anchor size tenant?
Rich Schoebel: It was more of a shop-type tenant. It was a restaurant use in terms of size, yes.
Operator: And our last question on the line comes from Chris Lucas from Capital One Securities.
Michael Haines: Hey, good morning, Chris.
Stuart Tanz: Hey, Chris.
Chris Lucas: Hey good morning, guys. A couple of simple ones, I hope. On your rent collection metrics, you're using base rent as the sort of denominator, base rent build. If you included sort of expenses as well, would that would those numbers be that different?
Michael Haines: No, I think they're pretty comparable when you include recoveries as well.
Chris Lucas: Okay. And then just as it relates to the rent collection numbers, just making sure, you didn't utilize any security deposit or letters of credit to sort of support or cure rent collection at all.
Stuart Tanz: No, not at all.
Michael Haines: We still have our security deposits from the balance sheet.
Stuart Tanz: Still have a nice security deposit sitting in the back from every tenant.
Chris Lucas: Okay. That’s really all I had. I appreciate it. Thank you.
Stuart Tanz: Thank you, Chris.
Operator: And we did have one more question coming the line from the line of Christy McElroy from Citi.
Michael Haines: Hi, Christy.
Stuart Tanz: Hey, Christy.
Michael Bilerman: It's Michael Bilerman, sorry.
Stuart Tanz: Hey, Mike.
Michael Bilerman: How are you?
Stuart Tanz: Good. [Indiscernible]?
Michael Bilerman: Good. So I just wanted to know, and I apologize if I missed it at the beginning, is there any sort of update on external growth? I know we spoke back at NAREIT about your desire and potential capital partners coming to you, you think about how you started ROIC coming out of the GFC. Where is the mindset today in terms of deploying capital in terms of structure, balance sheet, joint ventures, a fund, the blind pool, how are you thinking about it?
Stuart Tanz: Well, when we continue to think about it. We, obviously, like everyone else, the transaction market is pretty well frozen. There's still the big issue of underwriting NOI. And so and then on the other hand, we do realize that having a very transparent and straightforward company is very important to us and our shareholders. And so right now, we continue to think about it. We continue to have conversations but nothing yet has been done, and we will continue to look at those opportunities and see what might come up. But at the present time, we're still moving down the same path as we always have.
Michael Bilerman: In those conversations, those are conversations with potential sellers? Or those are conversations with potential other capital partners?
Stuart Tanz: It's both. We have had conversations with both, including sellers that have wanted to take OP units. But obviously, we're not issuing OP units where our stock is currently trading. But those conversations are ongoing, and I think those will continue to be ongoing.
Michael Bilerman: Good. All right. Thank you.
Stuart Tanz: Thank you.
Operator: I do have one more question that comes in the line. This is from the line of Chris Lucas, Capital One Securities.
Stuart Tanz: Hi, Chris.
Chris Lucas: Yes. Sorry to go back into the queue. I just had one other question. I don't know if you mentioned this earlier in your comments, but do you have any sense as to what level of tenant participation you had in the PPP loan program? Doesn't sound like it.
Rich Schoebel: Yes. It's hard to give you sort of a percentage or anything like that. Certainly, our tenant base has been seeking out every opportunity, and that can be anything from a local grant from a local city that has come up with a program to help their mom-and-pop type tenants all the way up to the federal program. All of our deferral agreements require that they apply for whatever assistance that's available and that they direct any assistance they receive for rent to us to pay back the deferred rent sooner. And then we are also working very closely with the tenant base ourselves to make them aware of the programs as they come out, particularly the local ones, which aren't always highly advertised. So we've been very successful in getting some of these local grants directed to our tenant base.
Chris Lucas: Thank you.
Stuart Tanz: You're welcome.
Operator: And we do have one more question in the queue from the line of John Kim, BMO Capital Markets.
Stuart Tanz: Hey, John.
Michael Haines: Hi, John.
John Kim: Hey, Stuart. Good morning. You said in your prepared remarks that you are attracting some mall tenants into your space. And I'm wondering if you could elaborate on what industries they're coming from outside of restaurants. And if you think this is a change in the real estate strategy or just shopping around for a cheaper rent?
Stuart Tanz: I think it could be a structural change personally. We have been very active, both in the open-air format as well as the mall format. We think the windows opened up given that operating costs are a lot less in open air centers. And more importantly, I think, as Rich touched on, it's the amount of foot traffic that's being generated by the grocery stores and the drug stores. We have found that, that has really caught a lot of tenants, mall tenants, sort of ears and eyes in terms of opportunity. So I think this could be more of a structural change. And you can bet we're taking advantage of this in a big way.
John Kim: Any commentary on the tenants or the industries they're in? And what may have surprised you with some of these tenants?
Rich Schoebel: I don't think there's been anything that's really surprised us. I think that it's come from a broad range of uses. Obviously, at 97% occupancy, we have to target the tenant that will fit the space. So I think that, that drives the use more so than anything else.
John Kim: Great. Thank you.
Stuart Tanz: Thank you.
Operator: And at the current time, there are no other questions in queue.
Stuart Tanz: Well, in closing, thank you again for your time today. If anyone has any additional questions, please feel free to contact Mike, Rich or myself directly. We hope that you and your families all remain safe and healthy. Thank you, and have a great day everyone.
Operator: And this does conclude our conference call. You may all now disconnect.